Operator: Ladies and gentlemen, thank you for standing by, and welcome to the WEX Third Quarter Financial Earnings Conference Call. [Operator Instructions] Thank you. It is now my pleasure to turn the conference call over to Mr. Micky Thomas. Please go ahead, sir.
Michael Thomas: Thank you, operator, and good morning, everybody. With me today is Melissa Smith, our President and CEO; and our CFO, Steve Elder. The press release we issued earlier this morning is posted in the Investor Relations section of our website at wexinc.com. A copy of the release has also been included in an 8-K we submitted to the SEC. As a reminder, we will be discussing non-GAAP metrics, specifically adjusted net income, during our call. Adjusted net income for this year's third quarter excludes an unrealized gain on fuel price derivatives, amortization of acquired intangible assets, expense of stock-based compensation, certain acquisition-related expenses, noncash adjustments related to our tax receivable agreement, gain on divestiture of Pacific Pride, adjustments attributed to noncontrolling interest and the tax impact of these items. Please see Exhibit 1 included in the press release for an explanation and reconciliation of adjusted net income to GAAP net income. I would also like to remind you that we will discuss forward-looking statements under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those forward-looking statements as a result of various factors, including those discussed in our press release and the risk factors identified in our annual report on Form 10-K, filed with the SEC on February 27, 2014. While we may update forward-looking statements in the future, we disclaim any obligations to do so. You should not place undue reliance on these forward-looking statements, all of which speak only as of today. With that, I'll turn the call over to Melissa Smith.
Melissa D. Smith: Good morning, everyone, and thank you for joining us. Today, WEX reported solid results for the third quarter of 2014, driven by strength across the business. During the quarter, revenue increased 16% over the prior year to $222.1 million and adjusted net income per share increased 17% to $1.56 per diluted share. Our earnings benefited from positive results of one of our scale initiatives related to tax savings along with stronger-than-expected performance in the travel and health care industries included in our other payment segment. These benefits were partially offset by FX losses. The underlying operational results were strong and ahead of our expectations for the quarter. These results leave us confident in the strategies we have in place to continue to drive meaningful growth as we close the year and move into 2015. I'm excited to update you on the progress against our strategic milestones. Throughout the year, I've talked about 3 objectives: position the company to accelerate growth organically and through M&A; further globalize our business through targeted investments; and drive scale across the organization. We continue to make significant progress on all fronts. We're seeing growth across the fleet business, both domestically and abroad. Domestically, we're continuing to win portfolios, working with a number of different brands across the United States. We're enhancing our on-the-ground presence, while improving our competitive positioning in Europe and Asia through the ExxonMobil transaction and our relationship with Shell. We've increased WEX's addressable market in the complex health care payment space through the acquisition of Evolution1. Year-to-date, we have grown revenue 13% and adjusted net income 17% while making a significant investment in our European expansion. We anticipate that our focus on these areas will continue to bear fruit as we leverage our strengths in the diverse set of payment solutions. Let me take a few moments to provide a deeper look at our progress in the third quarter. At a high level, we continued to see favorable trends domestically within our fleet business. During the third quarter, we had payment processing transaction growth of 5% relative to the prior year period. Recent domestic wins this quarter include a steady stream of new customer signings which continue to have a positive impact on our business. We continue to make progress with our over-the-road offering as we gain traction with our integrated offering and leverage the Fleet One acquisition. In addition, we have recently implemented the Sunoco-branded OTR card. Sunoco has a valuable fueling network in the Northeast, especially with their high-volume diesel sites in commercially attractive Pennsylvania, New York and New Jersey. The private label card offers universal truck stop acceptance with valuable discounts on diesel at Sunoco-branded locations. Looking globally, we're seeing significant progress against our growth initiatives internationally as well. In July, we announced that Shell had selected WEX to process its prepaid commercial fuel card transactions within its fleet business in Europe and Asia, and we're on track with our efforts. Shell has a significant presence in Europe and Asia, and this relationship is a testament to the quality and innovation of our offering. Another key component of our globalization initiative is our acquisition of ExxonMobil's European commercial card portfolio, the Esso Card. This transaction will provide WEX a competitive platform within the European market. Over the past few months, we have made significant headway in ramping our teams and facilities in Europe, and I'm encouraged by the progress we've seen thus far. As we shift towards closing the acquisition, let me quickly discuss the complexities of this process as well as our key milestones. Having wrapped up Phase 1, which was comprised of clearing several key regulatory hurdles, we've been able to shift our attention to Phase 2. As a reminder, Phase 2 involves the carve-out of the operations from ExxonMobil to WEX, which will result in change of control. We've made significant progress on this part of the process, which is focused on operational readiness and consisted of setting up key systems and infrastructure. Since our last call, new offices in Europe have been established. We're finalizing the transition of the remaining ExxonMobil offices to WEX offices. We're nearing completion to allow the legal transfer of employees that will occur when we formally purchase the receivables. In addition, WEX Europe Services has gone live in Norway, which is ahead of schedule. But though our progress is just beginning, we have demonstrated operational readiness in our system in a European country. As we work through the end of the year and into the first quarter of 2015, we will continue to develop critical business systems, facilitate training and execute other preparations to enable the portfolio transition. These activities represent the steps necessary to complete formal change of control of the portfolio and the closing of the transaction. Our third and final phase in the -- is the conversion of the portfolio to the WEX's systems, which extends beyond the close of the transaction. We expect this conversion to begin in 2015 and to be completed in 2016, which is in line with what we've communicated earlier. The technical efforts needed to support this phase are quite complex, and we are dedicating significant resources to minimize any risk and ensure a smooth transition. You will see this reflected in the continued ramp in investment spend moving forward. Overall, we're encouraged by the advancements we've made to-date. ExxonMobil represents a foundational transaction. We're excited to be collaborating with an established partner and delivering new products and technology to the European market. This will allow WEX to leverage an existing infrastructure, create a substantial and profitable European footprint. and develop and grow our European fleet card business. Turning to our other payment solutions segment, which now includes Evolution1, we continued to see strong momentum both domestically and internationally. Our other payment solutions segment grew third quarter spend volumes 39% globally to $5.5 billion year-over-year. This includes the contribution from the acquisition of Evolution1 and strong virtual card spend volume where we're benefiting from recent customer wins such as LastMinuteTravel.com and Dashlane. We believe that our efforts to expand our virtual card globally in compatible markets will continue contributing to purchase volume. We continued to see nice momentum domestically, as well as our U.S.-based travel customers saw purchase volume growth of approximately 21%. We remain excited about the growth within the virtual business and are pleased to be able to compound that with our growth and our expansion into health care. Our acquisition of Evolution1 in July advanced our capabilities into the health care space, an attractive industry characterized by very complex payment systems. Evolution1 is the cornerstone of WEX's health care solution strategy and has significantly increased our overall addressable market by more than $1 billion in revenue. Evolution1's software addresses the ever-growing demand for convenience and accessible methods of managing health care spending and transactions, delivering innovative cloud and mobile tools in a secure end-to-end user platform for administrating reimbursement accounts. Through these solutions, Evolution1's offering eases the complexity of health care spending to consumers with a B2B distribution model that is based on partnerships. Evolution1's offering uniquely differentiates the company from its peers who are primarily point-solution providers. Similar to WEX, Evolution1 has generated strong partnership loyalties over a robust network with a strong client coverage consisting of approximately 500 partners, over 90,000 employers and 10 million consumers in the U.S. and Canada. WEX will leverage Evolution1's leading client share to establish a solid footprint in the complex health care benefit space. Evolution1's revenue is relatively evenly split between monthly per-account fees and a share of interchange fees from spending on consumers' debit cards. This revenue is reflected in our financials in the other payment solutions segment, and Steve will give some more detail on the financial breakout in his prepared remarks. The Evolution1 integration continues to progress smoothly, with the first phase being HR and Finance activities. The Evolution1 management team has been focused on ensuring continued support with major partners and customers throughout the transition, and feedback has been very positive. Recent partnerships have reinforced the growth potential for Evolution1 and increasing demand for these offerings. HSA Bank, one of Evolution1's partners, recently announced that it has acquired the HSA accounts of JPMorgan Chase Bank. This is a positive news for Evolution1 as it continues to grow this relationship. This acquisition continued to afford opportunity as we further expand into health care. The platform serves as a strategic launching pad to introduce offerings into this space as well as consumer-to-provider payments. We're excited about the developments to come and look forward to leveraging WEX's expertise in complex payment systems and other aspects of the health care market. Lastly, we're making progress with our efforts to enhance scale across the organization. We're seeing the positive impact of pricing-related initiatives and fees, which have contributed to increased fleet margins year-over-year. We're also seeing significant benefits from our strategic tax initiative. We continue adding assets to our portfolio that are high-growth drivers and scaling those that are more mature. Looking ahead, our strategic priorities remain consistent. We will align our investments to optimize our capital across our portfolios. In addition to our existing strategic partnerships, our M&A pipeline offers a number of interesting opportunities that will continue to support our ongoing expansion. Our disciplined strategic acquisition program focuses on attracting businesses that improve our existing businesses by increasing or enhancing scale, increasing functionality and/or adding product differentiation. Our strategic objectives also drive the ongoing diversification of our business, which is increasingly important for us to remain competitive in the marketplace. We continue to prove ourselves as a leader and strategic player in fleet and across multiple other markets and geographies. By adding new sources of revenue such as ExxonMobil and Evolution1 and expanding our product offering into new verticals, we will sustain our momentum and accelerate our growth over the long term. In closing, I'm proud of the performance we've achieved during the third quarter. 2014 has been a strong year of execution. We are focused on growing and optimizing our fleet payments business, expanding our other payments segment and accelerating growth in attractive verticals. I look forward to ending the year with continued momentum against our strategic objectives as we continue to progress towards our long-term targets of annualized revenue growth of 10% to 15% and earnings growth of 15% to 20%. Additionally, I look forward to finalizing the ExxonMobil transaction, completing the deployment of the Shell prepaid product and working with Evolution1's team to ensure a smooth transition. And now I'll turn the call over to Steve to discuss our financials and guidance. Steve?
Steven Alan Elder: Thank you, Melissa. For the third quarter of 2014, we reported total revenue of $222.1 million, an increase of 16% or $30.6 million from the prior year period and towards the high end of our guidance. This performance versus the prior year was driven primarily by the acquisition of Evolution1 in mid-July, solid growth in fleet volumes, higher fee revenue and another very strong quarter of growth for our virtual card spend. Net income attributed to common shareholders on a GAAP basis for the third quarter was $74.4 million or $1.91 per diluted share. Our non-GAAP adjusted net income increased to $60.7 million or $1.56 per diluted share. This compares to $52 million and $1.33 per diluted share in Q3 last year. Our adjusted net income was favorably impacted by a tax benefit of $11.3 million relating to prior years, which was partially offset by a foreign exchange loss of $7.6 million. If we were to remove these items, adjusted EPS would have been $1.39 per share. As a reminder, stock-based compensation expense was excluded from both the current and prior period and, therefore, adjusted net income for Q3 2013 is different from what was reported last year. We have also excluded certain acquisition-related expenses directly related to the closing of the Evolution1 deal and the gain from the divestiture of Pacific Pride. There were no comparable expenses in last year's quarter, so this did not result in any additional change to the adjusted net income reported last year. Taking a look at some key performance metrics for the quarter. Consolidated payment processing transactions increased 5% year-over-year, which was in line with our expectations. The consolidated net payment processing rate for Q3 2014 was 1.37%, which was a decrease of 3 basis points compared to Q3 2013 and was up 1 basis point compared to the second quarter of 2014. The rate decrease is a result of specific long-term contract renewal that occurred in Q1. Transaction processing revenue was down approximately $800,000, primarily due to the divestiture of Pacific Pride at the end of July. Financing fee revenue in the fleet segment increased $3.2 million to $18.9 million, primarily as a result of increases to late fee rates we initiated last year. In the other payment segment, revenue for the third quarter increased 42% or $23 million year-over-year to $78 million, primarily as a result of Evolution1 and higher virtual card purchase volumes. Purchase volume, including volume at Evolution1 where they earn interchange, increased 39% over last year to $5.5 billion for the quarter. The Evolution1 volume contributed approximately 10% to the growth rate during the quarter, with the remainder driven by organic growth in the travel vertical, including our international expansion efforts. The interchange rate in Q3 was 85 basis points, down 10 basis points year-over-year and down 1 basis point sequentially versus Q2. The rate earned on the Evolution1 volume was higher than the average rate earned on our virtual card. However, due to the mix of business from both a customer and geographic perspective, the rate came in relatively flat to our Q2 rate. The increase in account servicing revenue in the other payment segment was mainly from Evolution1. Recall that a significant portion of their revenue is earned on a per-account, per-month basis for the use of the software platform and is recorded on account servicing revenue. Moving down the income statement for the third quarter. Total operating expenses, excluding the $27.2 million gain from the divestiture of Pacific Pride, were $146.8 million, a $33.1 million increase versus last year. The majority of the expense increase relates to the acquisition of Evolution1 and the work associated with ExxonMobil in Europe. Salary and other personnel costs for Q3 were $55.4 million, a 34% increase when compared with $41.5 million from Q3 last year. Approximately half of the increase is related to headcount at Evolution1. Of the remaining increase, most was related to the platform development work and setup of operations related to ExxonMobil in Europe. We continue to tightly control headcount throughout the company. Service fees are up $4.7 million from the prior year at $34 million. Evolution1 increased service fees by approximately $7 million due to their operations and acquisition-related costs. Although we had increased volume in several areas of our business, primarily the virtual card, we saw decreases in fees as a result of better rates from negotiated contracts. During the third quarter, credit loss expense totaled $7.3 million. This compares to $5 million in Q3 last year. In the fleet segment, Q3 credit losses were 10.4 basis points versus 7.6 basis points last year, which is in the middle of our expected range for the quarter. The increase in the credit loss expense is primarily attributable to several bankruptcies in the quarter. However, the aging of the portfolio remains healthy. Our operating interest expense was $1.9 million in Q3, which was a $900,000 increase compared to last year. The increase is due to the higher average balances funded from increases in our fleet and virtual card volumes as well as working capital requirements in Brazil to fund their growth. Interest rates on our operating debt were up slightly from last year. As we mentioned earlier in the year, we began hedging our foreign exchange exposure related to foreign cash and net receivable balances to settle our virtual card transactions. The remaining exposure that we did not hedge had a $7.6 million negative impact during the quarter, primarily due to the strengthening of the U.S. dollar versus the pound and euro. During Q4, we are expanding the scope of our hedging program, which we expect will further minimize our exposure to foreign exchange fluctuations going forward. The effective tax rate on a GAAP basis for Q3 was 25.1% compared to 37.5% in the third quarter of 2013. Our adjusted net income tax rate this quarter was 22.8% compared to 35.5% for Q3 a year ago. The tax rate for the quarter includes a benefit of approximately $11.3 million related to prior year amended returns as a result of a strategic tax review. For the fourth quarter, we expect our adjusted net income tax rate to be in the range of 35% to 36%. The current-year benefits of the strategic tax review were incorporated in our previous guidance. Turning to our fuel derivatives program. For the third quarter of 2014, we recognized a realized cash loss of $1.4 million before taxes on these instruments. We concluded the quarter with a net derivative asset of $6.8 million. For the fourth quarter of 2014, we have locked in at a price range of $3.34 to $3.40 per gallon. For the portion of the hedge already completed for 2015, the average price locked in is a range of $3.35 to $3.41 per gallon. Moving over to the balance sheet. We ended the quarter with $577 million of cash, up from $319 million at the end of the second quarter of 2014. The increase is primarily attributable to seasonal increases in deposits at WEX Bank related to our agreement with Higher One. In terms of capital expenditures, CapEx for the third quarter was $16.8 million, and we are maintaining our projected CapEx expectations for the full year to be in the range of $50 million to $55 million. Our financing debt balance increased by approximately $406 million in Q3, primarily due to the acquisition of Evolution1. WEX has also paid ExxonMobil a $60 million payment for our portion towards the $80 million acquisition of the European commercial fleet card business with funds from our credit facility. We ended the quarter with a total balance of $1.08 billion on our revolving line of credit, term loan and notes. As of September 30, our leverage ratio was 3x our 12-month trailing EBITDA compared to 2.1x at the end of Q3 last year. Regarding our capital allocation strategy, our primary objectives remain: to accelerate growth organically and through disciplined M&A to further globalize our business in new verticals and drive scale across the organization. Now I'll turn to our guidance for the fourth quarter of 2014 and the full year, which reflects our views as of today and is made on a non-GAAP basis. For the fourth quarter of 2014, we expect to report revenue in the range of $206 million to $211 million and adjusted net income in the range of $42 million to $45 million or $1.07 to $1.14 per diluted share. For the full year 2014, we expect revenue in the range of $812 million to $817 million and adjusted net income in the range of $198 million to $201 million or $5.08 to $5.15 per diluted share. These figures assume normal seasonality trends in the virtual card and health care businesses. Our fourth quarter guidance assumes that fleet credit loss will be between 10 and 15 basis points and that domestic fuel prices will be $3.16 per gallon. Our full year guidance also assumes that fleet credit loss will be between 10 and 12 basis points and that domestic fuel prices will be $3.53 per gallon. Fuel price assumptions for the U.S. are based on the applicable NYMEX futures price. Our guidance includes the operations from the date of acquisition for -- of Evolution1 and the related integration cost over the remainder of this year. It also reflects the sale of Pacific Pride, which will reduce earnings for the year. We are also excluding the gain -- the pretax gain of approximately $27.2 million on the sale of Pacific Pride, which was recognized in the third quarter. Our full year guidance includes an income statement impact of $10 million to $13 million of expense, or about $0.26 to $0.33 per share after tax, related to our planned acquisition of ExxonMobil's European commercial fuel card program. As we have addressed in the past, and in light of the success to-date of our international expansion efforts, the proportion of our business sensitive to changes in foreign exchange rates has grown. Our guidance also assumes that exchange rates will remain in the range of the current spot rates. Our guidance does not reflect the impact of any further stock repurchases other than the activity that has occurred through September 30, 2014. Now we will be happy to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Sanjay Sakhrani with KBW.
Sanjay Sakhrani - Keefe, Bruyette, & Woods, Inc., Research Division: [indiscernible] quarter. I guess, when we think about the tax benefit this quarter and looking ahead, should we include that in our run rate as far as how you're thinking about growth next year? I understand you guys talk about guidance next quarter, but just in thinking about that tax benefit, how should we contemplate it in terms of a normal run rate number for this year?
Steven Alan Elder: I'd say, Sanjay, from -- the project that we -- and what we recognized in the income statement this quarter was about $11.3 million that related to prior years' returns, so 2010 through 2013. We guided specifically for the fourth quarter to be 35% to 36%, which is basically the same guidance that we've been using all year long aside from this tax project. We had anticipated, actually, at the beginning of the year doing this project and getting some benefit, and we had included that in our guidance right from the beginning of the year. So when we finalized the project, it came in pretty much where we expected for the year. So we're not really seeing any changes to our full year number for our guidance for the tax rate. So I'd say, going into next year, I think the rate we've got is a pretty good rate. Obviously, it'll change with the mix of earnings between geographies. So there could be some movement, but overall, I'd say the rate we gave for the fourth quarter is probably a pretty good one to use next year.
Sanjay Sakhrani - Keefe, Bruyette, & Woods, Inc., Research Division: And when you say rate movement, your -- I mean, clearly, in Europe, the tax rates are lower...
Steven Alan Elder: Exactly. So that we...
Sanjay Sakhrani - Keefe, Bruyette, & Woods, Inc., Research Division: And that would probably factor in more next year?
Steven Alan Elder: Exactly. So I'm just saying, if the mix of earnings changes to the -- more profits coming from Europe as opposed to the U.S., then the rate will go down.
Sanjay Sakhrani - Keefe, Bruyette, & Woods, Inc., Research Division: Right, right. And then I guess, you guys talked about the ramp in investments related to Esso, and I just wanted to drill down on those a little bit more as we think -- as we look towards next year. I mean, when we think about the investments you've made and the costs that you've incurred this year, directionally, are they indicative of what you guys expect to incur next year? Or could it be higher?
Steven Alan Elder: I'd say, we haven't completed our planning process yet for next year, and there's still a lot of information that we're getting from Esso, even very recently, in the last week or 2. So the other big factor is we don't know when the conversion is actually going to happen, whether it will be towards the end of this year or early next year. And so those -- all those things are factoring into what's going to impact next year. So what I can say is that we still believe we have a significant amount of work to do to complete the platform development, convert onto our platforms, and we believe we also have a lot of work to do to optimize the portfolio once we have it. But I don't think we're ready or in a position right now to give you a range for next year's dilution.
Operator: Your next question comes from the line of Ashish Sabadra with Deutsche Bank.
Ashish Sabadra - Deutsche Bank AG, Research Division: On the payment processing transactions, those slowed down a bit. They were about 6% in first half, came in at 5% in the third quarter. I'm just wondering if you could provide some more color on that trend? And then, as you look forward with all the events that you talked about, both domestic as well as growth internationally, how should we think about the payment processing transaction going forward?
Melissa D. Smith: Sure. So if you look at the growth in payment processing transactions this quarter, it gets impacted by a couple of things. It gets impacted by the number of businesses that occur on a year-over-year basis, which had a little bit of an impact compared to last year, which is why you might see -- be off 1% in a particular quarter. The other thing that will also have a translation is the timing of when we do portfolio conversions. So we had some of those portfolio conversions earlier in the year. We've just talked about a few that we're implementing now. And so that will also have an impact on the overall year-over-year growth rates. And in terms of looking at this on a go-forward basis, we've clearly had the bulk of the business now in the United States. That's changing as we pick up the ExxonMobil portfolio. And so what we're doing in Europe is going to be significantly different next year compared to what, obviously, we've got for trends this year. So I would think of the underlying business as being relatively similar. Here in the U.S., we're seeing a little bit of acceleration in growth. Also, in our Australian business, they've had actually pretty good success in picking up new relationships there. And then that will be compounded by this portfolio conversion that's going to be coming on from ExxonMobil in Europe.
Ashish Sabadra - Deutsche Bank AG, Research Division: That's great. That's great. My second question was going to be around the WEX Travel business. If you could just talk about the competitive environment there. Have you seen any shift in the competitive environment from any niche players? And also, you've been -- you've highlighted several new wins in this year. So I was also wondering if you could talk about the pipeline going forward, how your discussions are progressing with other travel agencies and other players in the T&E market.
Melissa D. Smith: Yes. So our travel products, I would say, it is a highly competitive market that we're in regardless of which country we're doing business in. And that's because we're typically competing against local niche players and some of the larger banks. We continue to be very successful in that competitive marketplace. And we believe that, that's a combination of the product offering that we have in the marketplace wrapped around with it -- with a very strong service offering. So if you look at the pipeline, it continues to be strong. We're seeing growth here in the United States. We talked about 21% growth here in U.S., and that's just been compounded by the growth that we've seen in some of our other offices. And as we continue to move to having more currencies, as we were -- and we then continue to expand the number of currencies that we're settling and issuing in, that will also enable our ability to actually sell into some new markets.
Operator: Your next question comes from the line of Tim Willi with Wells Fargo.
Timothy W. Willi - Wells Fargo Securities, LLC, Research Division: I have some questions about Evolution1. The first, I just want to clarify, you said that of the growth in payment volumes in other, 10% of the 39 percentage points was from Evolution1, correct?
Steven Alan Elder: That's correct, Tim.
Timothy W. Willi - Wells Fargo Securities, LLC, Research Division: Okay. And is there anything around the -- maybe you mentioned it earlier, I apologize if I didn't catch it. Is there anything around seasonal volumes? Do you see anything -- even though HSAs roll over -- is there anything where towards the end of year, for whatever reason, people feel compelled to maybe utilize them as they meet deductibles and try to get in and do stuff where they don't have as high of an out-of-pocket? Or anything like that we should think about around the quarterly flows of volumes in HSA?
Steven Alan Elder: Yes. There is some seasonality in the business, and it's actually more -- you see more volume in the first half of the year. So every calendar year, everybody's high deductible insurance plan resets, and so the first dollars that are coming out of pocket are coming in the first part of the year. And so you see a lot more activity on the draws from their -- from the accounts earlier in the year. And then as people meet their deductibles, that's when the insurance starts paying a portion of it. So the seasonality is actually skewed towards the first half of the year, and it slows down a little bit in the second half of the year.
Timothy W. Willi - Wells Fargo Securities, LLC, Research Division: Okay. Yes, that's a good point. I was thinking about that incorrectly. The second is with HSAs, and I guess, thinking about what you're doing with Higher One and the deposit portfolio, is there anything around Evolution1 and deposits and your bank charter that might actually serve as an additional funding source for the business? Or is that not something that's really doable?
Steven Alan Elder: No, I'd say that's one of the synergies that we're looking at. It's probably a longer-term kind of play at this point, but there's no restriction in our bank charter that says we can't take in these types of deposits or we couldn't issue these types of programs. So that's something that we're definitely looking at. Now we're obviously sensitive to the fact that Evolution1 had banking partners at the same time, so we want to be careful there as well. But certainly, the banking partners that they have do their own issuing, and we wouldn't look to change that, but in cases where they're signing up new pieces of business or people are ambivalent about who the issuer is, then, that's definitely an opportunity for our bank. And it would offset interest rate risk, essentially, at our -- at -- on the operating interest line at our bank.
Timothy W. Willi - Wells Fargo Securities, LLC, Research Division: Yes, yes. And then just the last one. Just sort of curious what you're hearing from partners. And again, as you guys have sort of studied this space, getting to know Evolution1. We're going into open enrollment season here, I think, for most of corporate America. Just sort of thinking about the environment with Affordable Care Act and more companies going high deductible and consumer awareness probably improving every year around HSAs, et cetera, what are your partners saying or doing around helping to drive more enrollment in HSAs, et cetera? Is there anything there that will be different than in prior years? Are they more optimistic? Is there more money being devoted to marketing in support of program managers?
Melissa D. Smith: I think a couple of things on that front. But first of all, just the announcement of having WEX acquire Evolution1 was very well received by the partners. It provided more stability around the business compared to having a private equity owner. And so there's more interest in expanding the relationships as a result. So I think that's the first positive. And then the second piece of that is there are continued trends that are favorable, like you just mentioned, in more movement to consumer-directed health care, which is something we had planned on. It does seem to be playing out. And I think, just even to add to that the idea of more movement in private exchanges, which is something that Evolution1 is really well-positioned to do, is something that we're seeing out -- play out also in the marketplace. So they've got a bunch of positive trends that are playing to our favor.
Operator: Your next question comes from the line of David Togut with Evercore.
David Togut - Evercore Partners Inc., Research Division: Could you discuss the new business pipeline internationally for more oil card outsourcing? Clearly, Shell and ExxonMobil have been leading the charge here, but do you see these initiatives by these 2 big oils leading some of the other international oils to take similar steps in the next year or 2?
Melissa D. Smith: Yes, I think the announcement in general with Exxon to outsource this really did get a lot of attention within the European marketplace. Exxon is very well-respected in -- from a brand perspective, and so there is interest. We have a very robust pipeline of people that we're talking to. And one thing I would just caution is that these tend to be very long-term pipelines. They move through the process at their own speed as they go through their own organization approval processes. So I think we feel really good about the long-term opportunity within that space. But I would highlight the fact that even when you actually sign one of these customers, there's a pretty long implementation process. So I would caveat, growth there is long term in nature.
David Togut - Evercore Partners Inc., Research Division: What is the catalyst for some of these big oils to outsource their portfolios now?
Melissa D. Smith: Often, it's when they get to the point where they have to invest within their systems. So unlike here in the U.S., a lot of the companies there that are still processing internally. So when they get to the point either where they feel like the offering isn't competitive for some reason or they have a significant infrastructure investment, those are times when they'll sit back and reflect on whether or not they should be outsourcing.
Operator: Your next question comes from the line of Smitty Srethapramote with Morgan Stanley.
Smittipon Srethapramote - Morgan Stanley, Research Division: Can you talk a little bit about the All Roads fuel card product that was launched earlier this month? Is that just access to both the Fleet One OTR's network plus the existing WEX network? And also, is this a sign of moving towards a single product for both the OTR and local fleets?
Melissa D. Smith: Yes. So actually, what you just said is correct. Not sure I need to expand on that.
Smittipon Srethapramote - Morgan Stanley, Research Division: Okay. okay, fair enough, then. Then maybe just moving on, can you talk more about the Sunoco Fleet One co-brand? How does that form of co-brand work? And again, is this just for SMEs or for all of Sunoco's fuel card fleet clients?
Melissa D. Smith: Yes, so the Sunoco program, what we like about this, and obviously, we're working with another great brand here, but -- is the ability to take the private label relationships that we've experienced here on the retail side of our business with local fleets and move that into the over-the-road business. And so with Sunoco, what we've done is formed a relationship for their over-the-road business, which will -- we will be the back-end processing for their system for their over-the-road product. It's got rebates associated with it. So it's an over-the-road card that people can use at Sunoco locations where they actually have a rebate that's provided to them for use in those markets.
Operator: Your next question comes from the line of Ramsey El-Assal with Jefferies.
Ramsey El-Assal - Jefferies LLC, Research Division: Can you talk a bit about pricing activity in the quarter? I'm trying to get a better sense of whether pricing has become or will become or could become a lever you can work to offset some of the macro headwinds that you face. I know you've been testing quite a bit, but any material callouts in the quarter on pricing?
Melissa D. Smith: You've seen a change in our pricing happen in the last couple of quarters, so you can see that translate through to some of our fees. And so we did get a little bit of lift year-over-year as a result of that. We are continuing to test some of those theories within -- particularly the small business marketplace to make sure that we're competitive in the market. And so I would say, we're still in more of a testing mode in terms of seeing that expand more broadly.
Ramsey El-Assal - Jefferies LLC, Research Division: Okay. You mentioned some continued financial support from your -- for your investment in Brazil. I know that you haven't sunk a whole lot of money in -- to Brazil at this point, but can you give us an update on your strategy there? How is it evolving? Is the challenging macro environment impacting any decisions to invest further? How is sort of Brazil going?
Melissa D. Smith: Yes, the Brazil business, we've seen really great growth in that business. So just as a refresher, that product is largely 2 different things that we're offering down there: we have a payroll card that's then growing at a significant rate, well over 20% in that marketplace; and then on top of that, we have an over-the-road product that represents about 5% of the Brazilian OTR marketplace. And so we've continued to see growth of that product as well. In terms of additional expansion, we've been working with our virtual card product to make sure that we can get both regulatory approval and processing capabilities so that we can offer virtual card products on a local basis. And so that's something that has been ongoing for a bit of time. We've gotten the regular pre-approval now, we're just working our way through the technical hurdles that we have so that we can offer issuance there locally. So it's a market we're continuing to expand in, and I would say, at this point, we're growing mostly organically from the original investment that we've made. And we're seeing continued growth at a pretty accelerated rate in that marketplace.
Ramsey El-Assal - Jefferies LLC, Research Division: Great, great. Last quick one for me. Can you elaborate on the uptick in credit losses in the quarter and potentially next? It sounds like you mentioned some bankruptcies. Anything structural in there as well? Or just a couple of one-off situations kind of impacting you?
Steven Alan Elder: It seems more -- much more like the latter, one-off kind of situations. We had, I think, 3 bankruptcies during the quarter that were between $100,000 and $200,000, which isn't a huge number, but it also -- it moved the needle a little bit compared to what we had expected going in. I -- it -- really, in the end, it's right in the middle of the range. It's 10 -- just over 10 basis points. It's a pretty low number when you look at it compared to history, not necessarily recent history. But if you look back over quite a period of time, that's actually still a relatively low number. There is usually a bit of a deterioration in our aging in the fourth quarter. As you get towards the end of the year, people in small businesses get real busy with holiday celebrations or whatever, and our aging typically does deteriorate a little bit in the fourth quarter. So we know that and we've built that into our guidance, but that's a pretty normal phenomenon.
Operator: Your next question comes from the line of Bob Napoli with William Blair.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: Quick questions on the Evolution1. First of all, what was the total revenue for the quarter in Evolution1? And I know, when you acquired it, you said around $80 million of revenue growing in the high teens. Any -- what was the revenue in the quarter? And then, is the $80 million still a good number for '14? And what is the growth rate?
Steven Alan Elder: Yes, Bob, I'd say the revenue number for the quarter was in line with the $80 million for the year. Now bear in mind that we didn't own it for the entire quarter, so it's a little bit less than a $20 million number for the quarter. But the -- it was very much in line. It was literally within a couple hundred thousand dollars of what we expected for the quarter. So for the growth rate, I'd say, yes, that -- the high teens, 20% number is still the goal and still the expectation, and that's a good number going forward.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: Now the -- I mean, the HSA customer that you had, it -- I think, with that acquisition, they're going to have over 1 million accounts. And I think you just -- you haven't bought any of that business on yet. Is that correct? Would you expect that -- I mean, that would -- that's like a 10% increase by itself in the size of that business?
Melissa D. Smith: It's a significant increase. It's going to happen over time, though. Some of the smaller accounts will convert, we believe, within this cycle. But some of the larger HSA partners -- HSA would be outsourcing or -- probably if it's converting, it's coming over from -- including partner relationships. Some of those will wait until the next cycle to convert. So you have 1 year lag before that happens. And so it is a big account. That's why we highlighted it. It's great that this has occurred, and I think it's a testament to Evolution1 and the very strong relationships that they have that this is occurring. But it will happen over a period of years. It's not -- going to happen immediately.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: Okay. That's a great win. The -- just to clarify, the online travel business, you had 21% growth in the U.S. and 29% growth overall. Is that -- did I hear that correct?
Steven Alan Elder: Yes. We quoted 39% and said about 10% was attributable to Evolution1. So yes, you could say that.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: Okay. And then in the fourth quarter, acquisition -- the $10 million to $13 million that you're spending on the Esso deal -- first of all, the Esso deal, do you expect it to close by the end of the year? And how much of that $10 million to $13 million of investment is going to show up in the fourth quarter?
Melissa D. Smith: I'll answer the latter question. So the -- we are still working with ExxonMobil to determine the close date, and so we don't know. That is the honest answer right now. But it -- we're feeling pretty good about where we are with the transaction. But that will be something that will be decided relatively close to when the actual close occurs. And so we're still saying the fourth quarter this year or first quarter of next year.
Steven Alan Elder: In terms of the amount of the expense, Bob, I'd say that it's been building each quarter as we go through the year, and this fourth quarter is no different than that. The date of the transition will make some impact on that, but we're still within our range of that $10 million to $13 million. We're probably towards the lower end of that range overall for the year, but you will see the fourth quarter be the biggest number that we'll see all year long.
Robert P. Napoli - William Blair & Company L.L.C., Research Division: Okay. And then Pacific Pride, how much revenue? I know it was $7 million revenue when you bought it. How much revenue are you losing through the sale of Pacific Pride?
Steven Alan Elder: It's immaterial, Bob. It -- I mean, it's a pretty small business overall, and so we haven't quoted it exactly, but it's an immaterial number overall.
Operator: Your next question comes from the line of Jim Schneider with Goldman Sachs.
James Schneider - Goldman Sachs Group Inc., Research Division: I was wondering if you could maybe kind of update us on your view towards fuel price hedges at this point, given the dislocation that we see in the market. Any change to your strategy in terms of the time horizon on which you're laying on hedges and the magnitude of hedges you're willing to put on at this point? And any color on how far those are going to go out at this point would be helpful.
Steven Alan Elder: I'd say, right now, we're not planning on any changes to the strategy. We think that giving the investor base some visibility and predictability into the cash flows is important. That said, back in 2008, when there was a really big change in oil prices, we did step out of the marketplace for a couple of quarters and shorten up the duration. I'm not saying that we'll do that right now, but if things continue tumbling, we may not see the risk/reward there. In other words, if the prices get so low, the reward for hedging might not really be there for us. So right now, we don't plan on any changes, but I think it always depends a little bit on market conditions.
James Schneider - Goldman Sachs Group Inc., Research Division: That's helpful. And then on a different topic, you talked about the increased proportion of revenue in Europe next year. Can you maybe give us a sense if things are going according to your plan today in terms of revenue for 2015? And given the spot prices that we're seeing right now in terms of the FX rates, roughly, what would be the magnitude of the revenue headwind you'd expect next year even if it's only an approximate number?
Steven Alan Elder: From the fuel price impact, Jim? Is that what you're asking?
James Schneider - Goldman Sachs Group Inc., Research Division: No, from FX. FX.
Steven Alan Elder: Oh, from FX. Oh, it's -- that's probably or actually a relatively small number. I mean, the impacts that we saw this quarter were more remeasurement impacts from some of the balances we had in our balance sheet. So from an operational perspective, I'd say, though -- I mean, they were there, obviously. The Aussie dollar would be the biggest one, and followed by the pound and the euro. But they were really pretty small from an operational perspective.
Operator: Your next question comes from the line of Phil Stiller with Citi.
Philip Stiller - Citigroup Inc, Research Division: I guess I just wanted to follow up on the fuel impact. Maybe you could help us quantify what the incremental revenue and EPS headwind is for the fourth quarter and how we should be thinking about 2015 impacts.
Steven Alan Elder: So for the fourth quarter, if you look at our previous guidance and our current guidance, the average price in the fourth quarter is going down about $0.33 from when we last talked to you in July. So that is an EPS impact to this year -- to this quarter, to this fourth quarter of about $0.04 overall in EPS. So we get a really big swing in the quarter and a marginal impact to the fourth quarter from an earnings perspective. So going forward, I mean, into next year, if spot prices are -- I'd call it, from the NYMEX are probably around $3. When you look at some Department of Energy index prices, they're probably more in the $3.20 range next year. So depending on kind of who you believe, our sensitivity is going to remain pretty much the same next year. An $8 million change in revenue for a $0.10 change in fuel prices, with about $0.05 falling down to EPS for every $0.10 change in fuel prices.
Philip Stiller - Citigroup Inc, Research Division: Okay, that's helpful. Following up on the virtual card growth. You have obviously had very good growth this year, particularly domestically. Do you guys feel like that growth is sustainable? Or do we run into comp issues at some point?
Melissa D. Smith: We've said that we believe that we're going to see growth over 20%, and it's something that we're seeing. And it's a combination of continued new customer signings along with growth of existing relationships.
Philip Stiller - Citigroup Inc, Research Division: Okay. And then I guess, stepping back from a high level, you have a lot of moving parts going into next year. Melissa, you've talked about the long-term growth targets of 10% to 15% for revenue and 15% to 20% for EPS. But as we move into next year, we have a lot of moving parts with the tax rate and Esso investments and maybe fuel prices. I guess, how should we think about those growth targets in this kind of environment?
Melissa D. Smith: Yes, no, I'd caveat saying they're long-term growth rates, which doesn't necessarily mean that they're going to be true every year or that they were applicable to next year. But I think, in general, what I'm trying to do is make sure that as we're thinking about our portfolio of assets, that we're putting it together and maximizing our asset base so that we're driving those results. So an example of that would be the addition of Evolution1. Really high growth, gives us a lot of opportunity to expand our addressable market share, and although that comes in at a lower margin than what we have in our fleet business. But if you aggregate those things together, you can see significant revenue growth and earnings drop-through. Something like fluctuations of fuel prices, I'd put that in the caveat of there are market conditions that are going to change that we need to be reflective of that, but I'm thinking about things more on a longer-term basis as opposed to what's going to impact us next quarter and how do we make sure that we pull all these things together in a way that there's enough diversification in the business that you can create some buffer for those type of things as well.
Operator: Your next question comes from the line of Tien-tsin Huang.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: I just wanted to ask on the fuel price front. What's the impact on the discount rate for fleet in the fourth quarter? Is there a new rule of thumb to consider given the lower level of fuel for the discount rate?
Steven Alan Elder: Yes. So a $0.10 change in the fuel prices will have between a 0.5- and 1-basis-point impact. So as fuel prices are going down in the fourth quarter, you should see our net payment processing rate going up.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: Right. So inverse correlation. So it's $0.005 to 1 bp -- 0.5 bp to 1 bp is the rule of thumb.
Steven Alan Elder: Yes.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: Okay. And just a Europe question because we've been fielding some questions around the regulation there and the inclusion of commercial or not. Just remind us, what are you guys watching there with respect to regulation, especially as you're bringing in Esso?
Melissa D. Smith: Yes, so part of what we're looking at, actually, is the base business that we have there now, so the business that relates to our virtual cards in Europe. And actually, it's been really favorable movement of late. So the council has just actually issued some language that removed commercial cards from the actual language. Now that still has to go to Parliament and go through the whole approval process. But I would say, it's trending favorably right now in that marketplace, and it's something that we've clearly been watching and involved in.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: Okay. So the last iteration like we saw was net positive, so at this stage, just watching for the -- watching for the vote and for the review?
Melissa D. Smith: Yes, that's right. That's right. And it's still a lengthy process that it needs to go through in order for it to reach approval. And they talked about that happening this year, but I think there's a question of whether that will really happen this year or if it will happen the first half of next year.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: Okay, got it. And then a last one, just the FX sensitivity. Steve, I know you talked about this quarter, but just is there same thing here on the -- like on the discount rate, is there a rule of thumb to consider operationally for FX changes for some of the big currencies you have? Euro, Aussie dollar, et cetera?
Steven Alan Elder: Well, I'd say, only about maybe 15% of our revenue was outside of the U.S. So again, euro [ph] probably pretty small impact. The Aussie dollar would be the biggest one in the revenue line, followed by the probably the GBP and euro after that. And it'll grow, obviously, next year with Esso coming on. That'll probably -- that'll be our second largest piece of business. So again, although I'd still think it's relatively minor, and they're well-established currencies. They don't usually fluctuate by 5% or 10% like they did this quarter.
Operator: Your next question comes from the line of Tom McCrohan with Sterne Agee.
Thomas C. McCrohan - Sterne Agee & Leach Inc., Research Division: Melissa, Steve, I just have one question on virtual card. Historically, that product has been a credit card construct, which made sense given the primary use case was discretionary travel. So given Evolution1 is primarily a nondiscretionary health care and HSA account's obviously more of a prepaid product, should we expect virtual card down the road to be expanded into like virtual prepaid or virtual debit?
Melissa D. Smith: Well, we're using, actually, our virtual products both on a prepaid and debit basis, particularly in the European marketplace where it's more prevalent in usage. And so I'd say, just to start with, we actually have experience in -- or using the product in that way in certain cases. When you get to Evolution1, what we're still working through with them is when you would actually use the debit product and when you would insert a virtual card payment. Part of the value proposition could potentially be the float that comes with a credit product. And so we still need to work that through and go through a couple of prototypes with some of their partners in order to determine really optimally what's going to be the mix there.
Thomas C. McCrohan - Sterne Agee & Leach Inc., Research Division: Okay. And then I lied and I'll squeeze in one more for Steve. On the leverage ratio of 3x, where could that be 1 year from now assuming no more acquisitions and based on current free cash flow trends?
Steven Alan Elder: I'd say -- first thing I'd say, Tom, is that, it's going to go up before it goes down because of the Esso transaction that we still have. Depending on the fuel prices and translation -- FX rates, $200 million, $300 million of purchase price still to go on Esso, so that'll bring us up in the range of 3.6x leverage, call it, the end of this year if that's when it happens. Over the course of next year, I would expect that to go down by about 1 turn. We'll securitize some receivables related to Esso. We will generate some cash flow during the year and bring that balance down pretty quickly, we think.
Operator: Your final question comes from the line of Mike Grondahl with Piper Jaffray.
Michael J. Grondahl - Piper Jaffray Companies, Research Division: Your use of deposits kind of continues to kind of grow as your business is growing. How are you just thinking of that as a source of financing? Are you diversified enough? And just kind of the potential that interest rates ever rise there, how are you kind of managing that?
Steven Alan Elder: So I'd say, from a diversification standpoint, we use certificates of deposit. We use money market funds. We have NOW accounts. We have the relationship with Higher One. So we've got a number of different sources of funds. And even in the worst of financial times, say, in 2008 or 2009, the amount of capital available to us through those sources has never been an issue. We've always been able to get just as much capital as we -- that we ever needed. We use it to fund domestic receivables, and to the extent receivables go up, we'll continue to tap into those markets. And if they go down, then we'll let some of those deposits roll off. From an interest rate perspective and the risk associated with that, we obviously recognize we're in a pretty low rate environment. There's a couple of things you can do. You can either reduce the need for the deposits or you can reduce the interest rate associated with it, and we're trying to do both things. So we have recently tested shortening our payment terms by a few days, which will reduce the overall need for the deposits because the payments will be coming in quicker. And we're bringing in deposits that don't have interest associated with them on the NOW account, so Higher One would be an example. And if we are able to do some issuing for the Evolution1 deposit program there, that would help as well. So there's lots of different things that we can do to offset some of that risk.
Operator: Ladies and gentlemen, this concludes the Q&A session for today. I will now turn the call over to Mr. Micky Thomas for closing remarks.
Michael Thomas: That concludes our call. Thank you, all, for joining us. Bye now.
Operator: Thank you, ladies and gentlemen. This concludes the WEX third quarter financial earnings conference call. You may now disconnect.